Operator: Good afternoon. Welcome to the Pressure BioSciences Third Quarter 2021 Investor Call and Business update. [Operator Instructions]
 It is now my pleasure to turn the floor over to your host, Ric Schumacher. Sir, the floor is yours. 
Richard Schumacher: Thank you, Catherine, and welcome everybody to our third quarter financial review and business update. As always, before we begin, I need to read a cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied such forward-looking statements. Such factors include among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly, any updates or revisions to any forward-looking statements, to reflect any change in our expectations or any change in events, conditions or circumstances on which such statements are based.
 So first of all, I'm pleased to welcome a voice that we heard last time. Welcome back onto the call, John Hollister, John, is the Director of Sales and Marketing for Pressure Bio. He has had that role held for about a year now. As I had mentioned before, John has worked in the Life Sciences and the Biotech field for a number of years. Not that many, because is not as old as me, but for a number of years. He has had a great, great background. He came to me through our Chairman, Jeff Peterson, who said John just sold his company, and he is in between jobs, and we'd be very lucky to bring him on board.
 So this was 2 years ago. I asked if he'd come on board as a part-time consultant to help me out and he agreed, and the path to his next endeavor has been longer than he expected, which for me, I've been rooting in the background, that it would take longer than expected and, during that time, we lost our Head of Sales and Marketing, Roxanne, who had been with us for 12 years and John came on board full-time at the end of last year and said he would he will take over that role for, as long as he could until his next endeavor started, and so he is still with us and I'm -- John I'm privately hoping that your next endeavor continues to be slow in its making, because we are the recipient of that. John's had big company experience, with GlaxoSmithKline and Amgen. Small company experience -- he is a Stanford grad with a Masters. He is just a super smart, hardworking guy that we're very lucky to have. So John, welcome back to the call. 
John Hollister: Thanks, Ric. Really appreciate it and it's my pleasure working with you and the team. 
Richard Schumacher: So for today's meeting, we're going to start with a brief discussion of the third quarter results, and then John and I are going to talk about some of the highlights, both technical and operational highlights that have occurred during the third quarter. And then afterwards, we're more than happy to take some questions. As we have been for the last a few meetings, on the financial highlights, I'm not going to go through the long drawn out regurgitation of the K or the Q, in this case. Everybody has the Q, and probably also have the press release we sent out today. There are some things we'd like to highlight on the third quarter, on the financial overview, which I will, and then we'll talk about the operations, technical highlights and then as I said, we'll jump into the Q&A.
 So starting with the financial highlights of Q3 2021 versus '20; as everyone has seen I'm sure by now, it was basically a flat quarter compared to last year. I've had a number of calls today, couple of last night after the Q was filed and today and some investors have called to say, actually it's better than they thought after having the best 2 first and second quarters we've had, the second-best ever and the best since 2018. They're happy to see that it didn't really change much, that we are pretty much close to where we were in the first 2 quarters. Several other people called, so they were disappointed, primarily in the PBI Agrochem part. I share that. I mean, we're disappointed in the PBI Agrochem, we had expected -- hoped for and expected higher revenue and the brand new Agrochem, which we just -- really just started in July and August, we had purchased some inventory, and had thought we would get more sales, we will talk about that shortly.
 But all in all, it was a good quarter, it wasn't a great quarter. It has been a great 3 quarters so far this year, and we'll talk about that. So quarter-to-quarter, again mostly flat. Revenue was down about 3%, some of that came from our instrument sales, which is down 12% and consumables, down 7%, so the numbers aren't that big. The BaroFold and UST services actually increased 18% as we had expected, and the Agrochem we did 17,000 in sales, of course, we had no sales in Agrochem a year ago. We hope to have more. We certainly hope to have significantly more in the fourth quarter, but we did have some initial sales in the third quarter. 
 The operating loss was at $1.2 million versus $800,000, a lot of that was Investor Relations and in stock options. The accrual for stock options that go over the vesting period, which is 3 years, and the loss per share was down, as you might expect about $0.20 from $1.02 down to $0.82. For the 3 quarters to date, we still have a very good set of results, when you look at the first 9 months of this quarter, our revenue is up 60% over last year. Instrument sales up 74%, consumables, up 23%, BaroFold and UST services up 89%. The operating loss is still -- has still improved, it's still down 37%, so we have a 37% improvement on operating loss for the first 9 months of this year, and the loss per share has also decreased about $1.20.
 So all in all, we had hoped for a better quarter. We are certainly hoping for a better fourth quarter. A lot of that being driven by the Agrochem business that we have purchased. We announced that we purchased $0.5 million of inventory, some of which came in August, a lot of it was to come in, in September, because of the supply chain issues which sat in a cargo ship for almost 4 weeks off the coast of LA, and did not even land until October 4th, and wasn't taken off the ship into around October 10th, and wasn't -- didn't arrive into our warehouse until the middle of October. So it could not -- nothing there could be used and sold during the third quarter.
 But we did have some additional inventory that we purchased early on, that we had hoped to move. Basically, we are going back to customers, who hadn't bought this product for about 2 years, 2 to 3 years. We're trying to reignite them as customers. We're working with the founder of the Agrochem company that -- whose assets we're acquiring, and it's just taking longer than expected. These are terrific products, are eco-friendly agrochemical products. The sales prior in prior years -- 2, 3, 4 years ago were in the $10 million per year plus. We think we can get back to that, and in fact we think we can get well beyond that, as time goes on. It's just taking a little bit longer than we thought. Probably some of them had inventory of the other products that they're using, since they hadn't -- these products have been on the market for a couple of years in the U.S., and so between that and the fact that the major product that would sell, between now and between -- really September and December, wasn't even taken off to ship until the middle of October.
 So those are 2 things that adversely affected us, but we do expect that the raw product that we purchase and the product we're processing in our new facility outside of Reno, Nevada, will be available and is available for sale and we are expecting to see those sales in the fourth quarter.
 So John, if you want to add anything, particularly some of the insights you have of being on the firing line every day with our customers, I'd be happy to turn it over to you. 
John Hollister: Yes, I just don't think it can be understated the logistics issues we faced, and it has been in the news, it has impacted the launch of the Agrochem business, as it does affect our shipment of devices across this country, and internationally and we're learning a lot about logistics and the challenges that the logistics world is and its impact. So I am looking forward to those sorts of issues getting out of the way, and so that we can ship our product faster. 
Richard Schumacher: So as much as we were disappointed, and we were, the fact that we were still able to have a quarter of -- over $500,000 a quarter, that was still twice what the average quarter was last year. The fact that we were able to get some of our products made in the last minute and shipped out. We're happy with that. One of the issues we had, is getting parts in to make our instrument for our PCT Platform, the Barocycler. We have 325 roughly that we've placed over the last 10 or so years around the world and just getting parts in to build those, has been difficult and we've had to go to other suppliers. We've had to find different ways to get parts in. We've had to be very ingenious in doing this, to be able to ship, I think it was 5 instruments we shipped in the third quarter. We also lost our -- as we put in the press release and in the -- particularly in the Q, we lost our contract manufacturers, only 11 miles away, because they went with a national company that basically came in and made them an offer they couldn't refuse by taking all the space in their contract manufacturing facility. 
 So they gave us notice, but we had to set up the approval from our notified body, in order to CE mark and get the underwriter marking on our products. We had to get all of that done this year. We had to set up a facility, that was acceptable, that had passed inspection to build these instruments in-house, because building them out of house was not possible The cost of finding another one -- another group in that short period of time was astronomical. So we built them ourselves, under spec and with the right labeling. So we did all of that, and all in all things came out pretty well, with the exception of the issues with -- kicking off the Agrochem business, which again we were very optimistic that the sales we were hoping for the third and fourth quarter will still happen, but most of them in the fourth, rather than kind of equal between the 2. So it was actually the best 9 months year-to-date we've had -- since 2018 and so we're pleased with that too.
 In terms of the operational and technical highlights. I mean, on top of everything else, I'm very proud of the team here. We've put press releases out to crow about some of these things, but it has really been terrific. I mean, setting up the warehouse in order to receive and process and package and ship and inventory, and John talked about things we're learning, and one thing we're certainly learning is, that in the Agrochem business, it's going to be inventory -- necessary to have good inventory at all times, when your customer wants to have a certain eco-friendly insecticide fertilizer pesticide, they don't want to wait a month. They don't care about supply chain issues. We need to have it and so we're learning how to do all this, and we do have another shipment of product that has arrived and a third shipment of product that is on a cargo ship now. This is all raw product that comes in and needs some level of processing by us, once it gets into our laboratory -- into our processing facility.
 So we've set up that laboratory. We've had successful Ultra Shear processing we announced on both Astaxanthin. Astaxanthin is the -- considered to be maybe the most potent antioxidant on the face of the earth. It comes from -- primarily from krill. When we put out the press release, I think it was July 7, John, we have got -- you've been chasing these, but I think we had 7 that I know of, 7 key Astaxanthin producers in the world, many of them are also selling in the U.S. and I think 6 of them called us and several of them have worked with us. 
 I mean, one of them which happens to be, I believe the largest in the world, has signed an agreement with us to have us make some product for them, different lots of product, because they're very interested. My gosh, if our Ultra Shear can make the product, so it is more bio-available, so you can use less and get a better effect, that means the producer can save money by having to go much further, and the consumer can save money hopefully, I know I am dreaming by having the producer charge less, because they're making it go further. Everybody wins and so, John, I don't know if you want to add, we don't want to talk about names yet, but certainly you've been on the firing line with these multiple Astaxanthin producers? 
John Hollister: They are visibly impressed with our formulation work that we've been doing, I have to say esthetically, the Astaxanthin is emulsifying -- near emulsified -- it is just beautiful, just this clear red product that you can envision it being infused in different products and/or taken directly, are very exciting and we look forward to seeing some bioavailability data at some point in the not too distant future. 
Richard Schumacher: So Astaxanthin again comes from -- primarily from krill, and also from algae, and it is harvested and it's in scarce supply. So if you can find a way to make a certain amount though, 3, 4 times further, then you really got something, and we believe we can make it go much further. And so, we believe we have something, and we are working with companies. These things don't happen overnight. But they do happen, when you have something that's better than what's out there and we believe we have something that's better than what's out there. So we feel very optimistic that we're onto something big in the area of Astaxanthin. Astaxanthin is again one molecule, one product that this works for, because it is harvested in an oil. Anything that's encased in oil, when you nanoemulsify it, it's particularly using Ultra Shear Technology, our patented.
 As you know, we now have 7 patents issued, a year ago we only had 3, now we have 7, including 2 in the U.S. -- and 2 key ones are in the U.S., that we're onto something we think quite big here. But it's one molecule out of dozens or hundreds, that we can get excited about. CBD, of course, is another one. Neem oil is -- comes from the neem -- bark of the neem tree and neem oil is an oil, that has a natural ability to be an insecticide, as many essential oils do out there. Orange peel and many other oils that come from natural products, can be natural insecticides, pesticides and we were able to nanoemulsify neem oil, and neem oil is something that you can buy in any hardware store. 
 And I know a lot of people that use it and swear by it, that it really works and works great. Isn't that what we want? Natural products out there. So we're not going to be killing the lakes, as National Geographic had a couple of months ago, a big story on the dying Great Lakes in the U.S. and Canada, primarily because of run off of fertilizers and insecticides. And so we need to continue to look for more eco-friendly products, and that's what PBI Agrochem is all about.
 So we're excited about our ability, not just asked Astaxanthin and neem oil, but also CBD. We published a press release, not too long ago, that we were up to 14 months, we've broken the year and we said it was 14 months, so it was 4 months ago, because now we are up to 18 months and the product looks in the container as good as it did on the day it was made 18 months ago. CBD comes out of the cannabis plant in an oil, and when you put CBD oil into something that's ingested or run on, it has a very low bioavailability, which means it's not available for the biology of your body to ingest it, to intake it, to spread it around the body, so it can do what it's going to do, and you need to make it more bio-available. 
 And we know that in general, nanoemulsion, that is droplets of oil that are so small, they are nano-sized and most emotions that we have in this world, of which there is many, are macro or micro emulsions. But when you break that oil down, which contains the active ingredient to a nano-size, then it has a much better availability to be bio-available. It also is almost always much more stable, long-term stable and we've proven the stability of CBD that we make is now at 18 months and running. We will be doing 2 bioavailability studies. But again, just like John said about the Astaxanthin, the look of this material is just sparkling. It's just very, very sparkling, and we've seen plenty of so-called nanoemulsion and microemulsion products, and they're just -- they're ugly quite frankly. This stuff is very, very clear.
 And John, you've also been talking to some of the CBD companies, of which there's actually quite a few that have called us and talked to you just unexpectedly, right? 
John Hollister: Yes, you know, I think what has most impressed me, is how reproducible the Ultra Shear Technology this nano emulsifying that we're able to do, almost independent of the oil. Across the board, we've had different -- in all sorts of different areas. So pharmaceuticals, I could see us, because there are many pharmaceutical products that are oil based. Well just by definition, their absorption is not optimal. But we can improve them. We can take -- help companies that have a generic old product and nanoemulsify it, make it a better version of an old drug. 
 Or the same can be applied to new drugs. The same is true with all sorts of nutraceuticals, that depend on oils that are commonly either taken by themselves but are very difficult for the body to metabolize it. By nanoemulsifying it and mixing oil and water and chopping it down to very small particles, 50 nanometers, the body just readily accepts them and absorbs them and it becomes available. So to your point, it's -- the world is our oyster, as the old expression is, there are so many potential applications for UST what we're having to gear up to, because we're getting pressured from a number of different customers. As Ric has mentioned, who have called us, looking for help. We are now getting pressed to get into commercial manufacturing, which we shared in a press release not long ago.
 So it's extremely exciting, [indiscernible] the door, there are so many different marketplaces, where the potential UST could have great, great benefits. 
Richard Schumacher: Great John. Thanks. So you mentioned it and we're on UST. So we did announce just a couple of weeks ago, that we've made a strategic decision to set up at least 2 toll manufacturing sites, one on the West Coast and one on the East Coast. Some of this came from a couple of groups that have come to John in the last year, or even in the last 6 months, that have said we're too small to be buying your instrument or leasing your instrument, or it's just not what we do. Would you do this for us? So we've had multiple groups that have said that they would -- they would want to purchase from us and let us do the manufacturing. So that's called toll manufacturing and toll processing. 
 So we are looking at setting up systems out in California and back here, and most likely New England, perhaps even -- right near us in Boston, where we can make this available fee for service, and if we had that now, I think we'd be -- we have probably half a dozen companies immediately, that would be utilizing that service. 2 of them in particular, John invited me to be on the phone call with over the last month, and one is a Vietnam vet, a helicopter pilot that is trying to give back and he's asked us to make a CBD product. So we formulated it and made it for him and sent it to him, and he's just ecstatic about it and he is waiting, he is one of the guys John to pressure me to see how quickly we can get this toll manufacturing set up. And another is a group that is looking at a nasal spray with CBD, and that would be longer, because they're going to go through FDA. But still -- and they're just 2 of many.
 And we're not advertising. We're not telling. The only advertising we do is, sending out a press release, and usually we get -- like with AstraZeneca, we get phone calls starting the day they go out or the day after they go out from interested parties. So we know there is a market out there for us. So we're excited about the toll manufacturing, and I'll get back to that in a little bit.
 There's 2 more things I want to talk about. One is the BaroFold, we had a press release on an expansion. John and Dr. Lazarev and Dr. Tang came up with an idea, that we should make available our instruments that we sell for pressure cycling technology. They can also be used in small studies for refolding proteins. Remember, proteins are molecules that have these strings of peptides that fold over each other, and they have to be like a key and a lock, it has to be exactly the way mother nature wanted it to be. 
 And when you make them in the lab, when you make a monoclonal protein in the lab, it sometimes comes out misfolded. And so you do a lot of work to get it fixed using chemicals and changing things and -- or you come to us with our 8 patents on our BaroFold and we can use pressure -- amazing pressure to unfold proteins and then to refold them and sometimes they unfold and refold the correct way, and then that molecule can now be used. So if you're making a drug, you are making a monoclonal antibody as a fight against arthritis or cancer or anything and it's misfolded, it cannot be used. But if you build in 2 years manufacturing cycle, a refolding using our technology, and if it does refold the way it's supposed to be, then you can, you can get the market and stay on market.
 And so, we're working with 6 different groups, 3 of them right now. One of them today we -- I went down into our lab, our processing lab and saw where our 2 key scientists were doing some folding and refolding. Not experiments and R&D, but actually for a well-financed biotherapeutic company that has an issue with what they hope to be a $1 billion drug, except it folds incorrectly, when you make it in the lab and we've shown that BaroFold, our patented procedure, can actually help them. And so they've asked us to actually go to -- we mentioned 3 months ago to step 2, which is to start working with their contract manufacturer. And this is the first step. We're making a reasonable amount, hundreds of milliliters, not just a handful of milliliters. And we're doing this on our modified Ultra Shear and modified pressure cycling technology instrumentation.
 So this idea that John and Sasha and Ed came up with, is terrific, and John, we can't name names, so we have a multi-billion dollar company that you've leased I think 2 instruments, in the last couple of months, correct? 
John Hollister: That is correct. And they are very excited about trying to solve a problem that they were running into. I'll tell you, my experience at Amgen as a Global Commercial Lead in oncology, where I was the leader on several different product teams, all biologics. One of the go-no-go decisions very early on in the development of a new molecule is, can you manufacture it. And the tendency for some of these biologics team to clump, for lack of a better word into what is called inclusion bodies. It's very difficult to extract those proteins from those bodies. And then secondly the proteins, back to your organic chemistry of folding or unfolding, and folding it properly causes a big problem and very expensive and very inefficient in terms of trying to fix that problem. And also we with BaroFold have the opportunity to help pharmaceutical companies solve this key manufacturing step, which may in fact make a molecule go from a no-go to a go by solving that problem.
 So very exciting and it's amazing to see the organic growth of this area of our business. 
Richard Schumacher: And we would expect to receive some type of royalty or used license fee for anybody that needs our BaroFold processing in, and they build it into their standard operating procedure of build -- of making their protein drug, and that could be quite handsome, if you think about one of these drugs getting to market in a few years, and maybe selling $100 million or $1 billion or several billion dollars a year, and we're part of the manufacturing procedure.
 So the last I thing I want to mention before the Q&A is, is that we've unveiled and I have put some of these in my quote in today's press release, some of the rather aggressive goals that we have for the fourth quarter and for next year, and we expect to close this agrochemical company acquisition of assets. We are working with them. We're working with basically the founder and owner of that company, who is introducing us and the company to the distributors, they used to use a few years ago and the companies that used the farms and others that used to use their product. And again it's taking longer than we had expected or hoped. Some of it is just -- it just takes longer, and some of it is supply chain issues, that it's hard to sell a product, if it's not in inventory. But we're working through all of that, and we're very optimistic that it will -- we will be able to close this and generate some very good revenue in the fourth quarter and the next year, even better on the Agrochem side.
 Clearly, this company needs to be on a national exchange, the stock exchange, whether it's NASDAQ or New York Stock Exchange. We need to be there for multiple reasons we've talked about it before. We continue to talk with the exchanges. We continue to work towards a goal of getting uplisted as soon as possible. And it is a clear goal of this company to do that, and we believe that with the Agrochem, the product line that we've brought on and will expand on, and with the Ultra Shear going to market in the next few months. 
 Sometime in the next -- probably in the first quarter or first few months of next year, will be up and running, and we can talk about that. But with those 2 things -- and our core business coming back as we've seen it come back. We do believe we've run the numbers over and over again, and we believe that we can get this company to profitability by or before the end of next year, the end of 2022. So we've got -- we need to do that. We believe we have the people and the technology, the products in the market to get it done. And the capital has been the problem, and we've raised some capital. As we've mentioned in our Q, over the last 3 or 4 months, which has actually changed the company tremendously, but I will hold off on that, to see what questions we have.
 So I think at this point, I think I am going to turn it back to Catherine, who is going to jump on and explain how people can ask questions. 
Operator: [Operator Instructions] Your first question is coming from [ Thomas Calder ]. 
Unknown Analyst: Enjoyed the presentation. I had rewatched your Benzinga, when you were at 16 months with the CBD. We could talk all around these issues, but I can [ since apply ] with one question, when are you going to turn all of these bullets into monetized reality? Because, that's what investors aren't seeing with all your presentations, and you're the gatekeeper on information. 
Richard Schumacher: Very shortly. We've gone out on a limb, as I said, I've been spoken to by our lawyers, who don't like us going out on the limb. But we've gone out on a limb and said, this company is going to be -- you're not going to -- at this time next year, you're not going to recognize this company. We're going to be the next overnight success. And I was speaking with someone the other day who said that overnight successes usually take 10 or 15 years. We're going to be in the next overnight success. 
 We're going to -- we really believe that -- Tom these are -- we don't want to be another ME2 company. Our dream is to be a $1 billion company. Our dream is to be a $1 billion life science company, and that is a dream that can be achieved, if you have the people and the technology and the markets. And guess what, we have the people, the technology and the markets. What we've been missing for the last few years, which is why this has gone slower than -- believe me, than we wanted to, is adequate funding, capitalization. With capitalization, when you're developing something that doesn't really exist, our super maximum Ultra Shear Technology, why did we get 7 issued patents?
 You don't get a patent on something as ME2. It's got to be unique, it's got to be one of a kind. It's got to be different. And so, Tom, to answer your question, the waiting is over. We have spent a lot of time working on the development of 3 technology platforms we've -- I guess we're glutton for punishment, so we have brought a 4th platform in of agrochem, because we think there's an opportunity there, and we know that Ultra Shear can make very good products even better down the road. So 2022 -- and we believe that we started to see that come to light, if you look at some of the responses, what John has said and what I've said from the customers that are looking at products that we're making, nanoemulsifying for them, using our prototype instruments, we have 3 different instruments, a benchtop, a floor model and then a super maximum model, that can be very large amounts, as if you're a big soft drink company, and you wanted to infuse something in it.
 We're working in all 3. We have a partnership with Ohio State. They have an entire College of Food and Agriculture, they're behind us 100%. We will be shipping our instrument to Ohio State. It's overdo. It was due months ago. But because of supply chain, but mainly because of capital -- not having enough capital, we've taken longer than we wanted to, to get to where we are, but we're there. We're getting ready to ship the instrument. It will be shipped this year, which means we only have a few more weeks to go. But more importantly Tom, we can't just ship the instrument, we need to have one here, so we're building, not one but 2. And I know that I've had some investors call and ask me about the debt we've taken on. We're building 2 instruments, and these instruments cost hundreds of thousands of dollars apiece. We're not building one, we are replacing the Ohio State prototype, that goes out in a few weeks with 2 instruments here, and then we also have to build 2 additional instruments for our West Coast tolling site.
 So a lot of expenses that are coming up. But we're at a point now, that we believe that the stake is in the ground. The line is in the ground. We know what we need, so we're starting to build the instruments that will replace the one that we're shipping out and be the ones that are generating revenue starting early in 2022. 
Unknown Analyst: It's all about revenue and lead time, isn't it? 
Richard Schumacher: And capital. 
Unknown Analyst: That, well -- yes, with -- my first career of 16 years in the semiconductor industry. So depending on how things are going. As one President said to me, you know as well as I do, what you're purchasing today, is what you're selling 12 or 16 or 20 weeks out, depending on the lead time and how long it takes to manufacture that semiconductor. It's like a lightbulb. The other thing -- the only suggestion I could make, you have some great ideas, you're working on some great products like the krill oil. If you had 6 or 10, and that was your focus for the next 6 months? Because I think these are not just technologies, they're disruptor technologies. If You have a breakthrough in CBD, that makes pretty much everybody else's CBD a ME2 worthless product. But you have to have a real player in that midst, same with the krill oil, a little red pill, or whatever. I mean, that's why I'd really like to see more information coming out, on how you're focusing and pinpointing this information, to make your dream come true. 
Richard Schumacher: So Tom, we've heard about electric cars and trucks for a decade, right. I mean we've heard about it. 
Unknown Analyst: More than that. Yes. 
Richard Schumacher: More than that. I'm a truck guy. I'm a F150, I am a truck guy. I've been waiting for a decade to get my electric truck, you know, and I'm as impatient for Ford or Chevy or whomever, to get me my truck, as I know our investors are for getting Ultra Shear out. But these things take time. I mean Ford has more money than we do, and they still don't have a good F-150 -- I guess they are coming out with something now. But I've been waiting for that. 
 These things take time. But the time is the time is now, as the saying goes. We are preparing by -- we've already ordered hundreds of thousands of dollars of equipment to be shipped in here. We're building 2 systems that will mimic our prototype, that we know works. I wish we had another 2 years to work on the prototype. But guess what, we don't, and it works great, and a second-generation, maybe 2 years from now, we will work even better. But right now, we know it works great. So we're building 2 systems. We're building the first tolling systems here, and we want to be up and running and commercialized in a matter of a few months of next year, we need to start generating that revenue that we all want to see okay. 
Operator: Your next question is coming from [ Rory Jensen ]. 
Unknown Analyst: Ric, can you hear me? I hear you fine. 
Richard Schumacher: All right. So we don't have Mr. Peterson here with us today. I will have Mr. Peterson back next time for the K, because I think having a Chairman on the Board when the K comes out is very important. But right now, we've got John with us, Mr. Hollister, and because I think you guys want to hear from the guy that's on the firing line of the sales. 
Unknown Analyst: That's right. So I'm not going to -- we're going to go forward, we're not going to go backwards, I kind of understand where Thomas, your first caller, came from. We can talk about Bradford A. Young, from a while ago and we're going to do all of us. The focus is -- we got to be focused. And I know you're holding this whole agrochem here to the chest, but I'm kind of interested, what are we looking at with this? Is this small scale stuff? I mean are we doing organic fertilizers? Is this for craft, boutique? I mean are we doing large scale, industrial? What are these fertilizers going to be used for? Can you talk anything about that? 
Richard Schumacher: It's certainly large scale. The distributors that we've been introduced to, that we've spoken with, are dealing with large farms all over the country, mostly East and West Coast and some in the Midwest. We're dealing with eco-friendly materials and we are dealing with something that could be very-very big I think next year. I honestly believe that this thing could do very sizable dollars. We're not talking about selling a couple of million dollars. We're talking about selling many millions of dollars, in terms of the eco-friendly Materials. So fertilizers and insecticides, pesticides and guess what, a good portion of them are oil based. So even though they are good in the state they are in now, in the future they are going to be better, because we have desire to do nanoemulsify those, so that the -- you could be using a lot less and going further with it, which helps everybody, as we said before, about nutraceuticals, same thing happened to the agriculture.
 John, you're kind of close to this, you want to add anything? 
John Hollister: Yes. I think you started touching on something which we probably don't touch on enough, but these eco-friendly chemicals are -- actually most of them are essential oils. So they are safe for us to drink. But they either feed plants. They discourage bugs or they help plants perform better. And in answer to your question about volume, I drove down to Paso Robles with my wife this past weekend, out here in California, to much of the heartland of great fields. And next to every field, you will notice this now, if you take a look, there are -- there is a water station, a pump house and next to the pump house, are all these pallets, what we call totes. And those toes have a thousand liters of chemicals that are being pumped through the water systems into the fields for different purposes, and that's the business that we're getting into.
 And why it makes so much sense for us. One, it's a tremendous revenue source. Obviously, it is eco-friendly, it's good timing, because there aren't as many competitors in this space and there is a very high level of interest. But it is very much in the heart of our business, because it's oil and water. And what these agribusinesses have to do today, is they have to stir that mixture, much like our salad dressing at home, but in big amounts. It takes a lot of time. We can actually apply our technology to doing that, making a nanoemulsion of these, with the potential of getting better absorption. And so therefore perhaps, less product is needed to accomplish the same goal. So we're very excited, and then lastly, this business is focused on selling to distributors. So fewer customers, if you will, but much larger volumes. But there's also the potential for turning this into more consumer-oriented product. So cutting down the size of the bottles into spray bottles that you buy at a Home Depot, and so that clearly is something we're looking at, and nanoemulsions would benefit that, that product too. 
Unknown Analyst: Okay. That helps a lot. And I just have one more question, so on the front end of a cannabis producer, can I see your chemicals being used -- and then on the back-end for the processing of the THC-CBD, the Ultra Shear technology being used? Is that a yes or a no? 
John Hollister: Absolutely spot on. I was on a phone call with a very significant investor in the cannabis and hemp agribusiness, and he brought up without me prompting him, the problem of spider mites in hemp fields and in cannabis fields, and that would be an example of a product that we could have, that's available, that we will be distributing to that marketplace and making a nanoemulsion of it, it has the potential of making that even better. So that's that front end of helping the grower do a better job. And then on the back-end, there is no question, that our process does wonders with CBD and or any cannabinoids. 
 They're all these lipid products that are very difficult for the human to absorb, and we can overcome that problem, and frankly, we've done it and we're now doing all sorts of different formulation development with a couple of different companies -- actually a few different companies. And we're learning about different ways to different oils, to use of the carrier, we're learning different things about the surfactants that are used. It's really remarkable what we've learned in the last 2 years. And it's in no small part, because Ric is managed to pull together a team at Pressure BioSciences that have stayed with them for 15 years. As they have learned, and now on the precipice of really accelerating into the companies that they've always envisioned they would become. 
Unknown Analyst: Okay. Well, I appreciate you guys answering this. And Ric there's just one more, is this something we're going to break out? I think it's a CD -- the number. I know it was on the bulletin, but are you going to break out the agrochem side? 
Richard Schumacher: We are. 
Unknown Analyst: Okay. 
Richard Schumacher: So going forward, we will break out that number because it -- we think it's going to be significant enough, that it deserves to be broken out. 
Unknown Analyst: Right, okay. Well I pursue that ESG, I love you guys technology and we're supporting it. So keep it up. 
Richard Schumacher: All right, thank you. 
Operator: Your next question is coming from [ Gary Zwetchkenbaum ]. 
Unknown Analyst: Ric and John, I want to congratulate you on your Q3 sales, not only your third quarter, but also for the 9 months, with the supply issues that you've had. I want to focus, you've added 2 or 3 questions on the Agrochem business, and I want to be able to focus on that. Going back to your last conference call, you talked about buying roughly $0.5 million in products, okay. And I understand a lot of that is coming late, you mentioned October -- 10th October, 15th October. I want to ask you regarding the product. You said that, that $0.5 million in product would correspond to over $1 million in sales, in revenue. So I want to get a feel, obviously it didn't come in late. You mentioned that some came in, there is some landing soon and more. This is a product that was already ordered. Are we looking at more than $1 million in sales from this, and can we talk about going into next year, into Q4, which is already half done?
 Can you give a better feel for what this Agrochem business can do next year? In other words, you thought that could more than double sales. Is it possible that we could do a few million dollars in agrochem next year, where we were doing a few million dollars in total sales? If you could break into that? And I recently spoke to the largest 10 producer in North America, in California, who has said to me on 2 or 3 occasions, how interested he was, to talk to you about your process, because he thought it would be very-very important. I know, Ric we will try to get together with you in the coming weeks. I know you've been busy. But if you can focus on Agrochem and those numbers, because I think your first caller, with questions, as where is the revenue coming from, I think we're hitting some traction, if you could talk about that, I'd appreciate it. 
Richard Schumacher: Yes. We have inventory. We have $0.5 million of inventory, that either came in August, or it was taken off the ships in October and is now up in our Nevada warehouse, where we process and ship. And we have more coming, it's going to be -- probably it's on a cargo ship now or will be this week, coming probably in equal amounts. And so is it -- if we have $0.5 million, is that a $1 million to sell, and if we have $1 million, is that $2 million? The answer is yes. We have very good margins or good margins right now, it could become even better, if you go into retail, as John was talking about. So the answer is, we expect to see significant revenue. I'm not going to give you a number in the fourth quarter.
 I actually don't have to give you a number, because I gave you one before. I'd said, between the third and fourth, I felt we could do up to $1 million, so that somewhere 0.5 and $1 million. And since we didn't see it in the third, I guess you can hold me to the fire and say, I expect to see it in the 4th. And so I accept that. I've already said it and I stick with that. So we expect to see $0.5 million to $1 million in sales in the 4th quarter. We also -- we will do much more than that. We expect to do much more than that next year. Gary, I'm not going to give you a number, but it's -- as I said before, we're not talking about $1 million or $2 million, we are talking about millions of dollars, that we think we can do over the course of next year.
 Remember, we're just getting started. We're just getting introduced the distributors. We're just -- we're asking them to buy our product, when they already have inventory, and of course some of them aren't willing to do it. But we're setting the stage for, what could be a very good next year. But I'm not backing up. I still think we're going to have some reasonable sales of our agrochem in the 4th quarter.
 So this is -- how we're going to get the profitability? There is 2 key things, the Agrochem is one and Ultra Shear is the other. They're both potentially huge. In our business, isn't it good to have 2 goliaths here, both of them -- if they both hit like we think they both hit, that's why I think it's safe to go out on the limb and say by the end of the next year, this company would be profitable. You won't recognize this company this time next year. I really don't believe you will. If only one of the 2 really hits, it's still going to be big, because they're both big. 
Unknown Analyst: Ric and John and talking to this largest producer. You told me your initial sales were to the larger companies. He expressed to me, when you get to the smaller farmer and smaller producer, the margins are greatly increased. So once you get that going and you'll be able to reach a smaller guy, I think you'll have even bigger margins. So congratulations. I know you've had some delays, but I look forward to the next few quarters. You see the agribusiness dwarf your regular revenue for the year. 
Richard Schumacher: And perhaps the Ultra Shear dwarf the agro, wouldn't that be great? 
Unknown Analyst: That'd be great. 
Richard Schumacher: Thank you, Gary. Catherine, are there anymore? 
Operator: Yes. You have a question coming from Brady Lipp. 
Unknown Analyst: Ric, yes, my question is kind of centered around it's kind of an expansion of a little bit of Tom's initial question to start this Q&A session. I've done extensive due diligence -- during the course of my extensive due diligence with people in the CBD market and some top tier people in the biotech pharma area, I've even taken the time to go down and meet with Dr. Subramaniam down at Ohio University to get a sense for the market opportunity in the food and beverage industry, which is obviously huge. I was wondering, if you could just expand a little bit on -- you had any with people in the CBD market, in the pharmaceutical industry.
 You had talked a little bit about the royalty business model, which I absolutely love, if you can help with the manufacturing process of some big products, whether it's in the CBD market or the biotech or pharmaceutical industry, or even in the food and beverage industry. But I was wondering if you could elaborate a little bit on what you would expect, based on conversations you've had, with people in these various industries is what -- what would be reasonable from a royalty stream perspective? So we could gain a little bit of a sense for what the revenue opportunities are in some of these businesses, if you would nail down a relationship with a CBD.
 So that's one question. And then the second question is, if you've had objections at all for many of these industries with that type of model. I'd like to kind of hear the feedback that you've gotten, if you've had any of those kinds of conversations? 
Richard Schumacher: So I'll jump on this. I know we're going to run out of time soon, so I'll jump on this and then ask John to be short. The model is one in which we are not going to sell the instrument. We're going to place the instrument in the facilities, and it's going to be a monthly charge, plus a minimum royalty. So anything that they make over that number, we're going to get a piece of that. I'm not at liberty to say what piece of it will be, but let's just say that, I think we're talking about millions of dollars in these industries, that are open to us in this model.
 I personally have not had any push back, I've had the opposite. I've had where people have literally said, we have no problem sharing profit with you. The bigger problem is coming up with hundreds of thousands of dollars to buy your instrument. Now we don't have to do that. So we've had actually extremely good response from people, about the model of -- give us $25,000 and a few thousand a month. But we want a piece of the action versus give us a few hundred thousand dollars upfront. So it has been welcomed. And as for the market you know, there are hundreds of CBD manufacturers, there are hundreds, if not thousands of vitamin and wellness and other supplement manufacturers. There are some big ones and there's a lot of small ones.
 The tolling will take place -- will help the small ones, and the bigger ones will take the instruments. This is our model. If you have a better mousetrap, they're going to buy it. We have a better mousetrap. We've been building it and we're getting ready now to start showcasing it. And I'd tell you, the calls that John gets every day, every week from people that read a press release or hear something, you see an article, are quite a few. Wait until you start -- the word gets out, that the product works better, because the product is being processed by Ultra Shear Technology. So the market is very, very big, Brady. We're not going after one or 2 or 3, we're going to after hundreds of manufacturers, either through the tolling or by the installation.
 John, can you add to that? 
John Hollister: The only thing I'd add Brady is that our -- I've had the same response as Ric has, from people who have gotten to that level of discussion in terms of deal structure. They're much more receptive to doing a lease with a royalty. And I would say just, as you're doing your modeling, royalties that are an analog to the pharmaceutical royalties that are traditionally paid, which are out there and I'm certain you have access to those. But those seem to be a fair analog for the CBD world, as well as it seems in the nutraceuticals too. 
Richard Schumacher: Catherine, any other questions. 
Operator: We have no further questions from the lines at this time. 
Richard Schumacher: I want to add something, because I've had -- I am going to say half a dozen calls or maybe even 10. And I know one of the things that -- and I didn't offer it, because I figured someone would ask it, but you guys are -- but no one did. So I'll just offer it. I've had half a dozen people call me and say, what the heck is going on. I've seen $4 million more in convertible debt on your balance sheet over the last over the last 9 months. And yes, there is, but what I wanted to point out is, you got to look at the balance sheet on September 30th and compared to the balance sheet on December 31st. We have increased our convertible debt by $4 million roughly. However, 90% of that convertible debt, if not more, has agreed to convert into the uplist, when we do our uplist. So this is debt, that is going to convert into stock, add at least $2.50 a share, if not more, when we do our up-list. And the terms of this debt are much better than the terms of a lot of the debt that we had a year ago.
 So some of this debt has replaced some more onerous debt, and the other debt is the debt that is helping us to build these, these 200,000 -- multi-hundred thousand dollar instruments that we're building, and many of the other things and build out the test lab and do so many things that we're doing. But when you look at the balance sheet on September 30, you'll see that we have cash normally. Our balance sheet has $30,000 in cash. Our September 30th balance sheet had 3 quarters -- almost 3 quarters of a million dollars in cash. So the $600,000 in cash that we would normally not have, there's $400,000 in receivables that we would normally not have. There is $1 million more positive on the balance sheet. There is $200,000 in inventory. There is $300,000 in prepaid expenses, and mostly that is inventory that was stuck on a cargo ship, so we prepaid it, but we can't call it, inventory, because it hasn't been received. So there is a $1.5 million in assets that are sitting on the balance sheet, that have come from that extra debt.
 If you look at the liabilities, you'll see that we reduced our payables by $300,000. You will see that we reduced our employee compensation accrual by $300,000 and that's been bothering me for years, when I can't pay -- reimburse employees for expenses that they've incurred, and other things that I've had to carry out on an accrual. We've reduced that by $300,000. We've reduced our related party debt. It's well known that myself and some people in my family, and Jeff Peterson, our Chairman, have come to the rescue, when money is tight and we needed to do -- maybe it's make payroll, maybe it's buy something to make a product to sell it, we've loaned the company money, and we've loaned it for a few days or few weeks, and Jeffs and my case, it has ended up being a couple of years. But in most cases, Jeff and I've had to borrow the money to lend the money. And so we've reduced our related party debt by $130,000.
 So if you add up all of the positives on the balance sheet on the other side of the $4 million, you'd see that there is about $2 million that has gone to the good, that we've used that money to make the balance sheet stronger, to make the company stronger. And then the other $2 million, is going into running the company. We're not profitable yet. We are not cash flow positive yet. So this is the money that we've taken in. But unlike previous years, when we borrowed money at very onerous rates, that we have to pay back, most of this debt is debt that has agreed upfront to convert into an uplift, if we are so blessed to do an uplift, which is what we plan to do.
 So to answer the people who were upset about, that call me and said you've $4 million more in convertible debt. Yes $4 million more the debt is better, if you're going to have debt, it's better debt. It's debt that's going to convert, and we've used half of it to clean up many, many eyesores, and really ugly things on the balance sheet, and make things better, to make the company better. So all in all, I'd say that to be able to have done that, and be in the position we're in. I've said before, we're in a better position now, than we have been in several years, in terms of our balance sheet, in terms of our cash flow. We're in a better position now. So I just wanted to take a few minutes to point out that $4 million that we borrowed, where it has gone, it's going into some very good places and especially going into building these 2 new Ultra Shear systems, that a couple of months from now are going to be up and running here in Eastern Massachusetts. And we think by, in the first or second quarter, generating revenue through the Ultra Shear.
 So I know we're done with questions. We are done with time. I appreciate everybody coming on. So Catherine, I just want to say that, I want to thank everybody and I know John does too. But we're out of time. So I'll thank everybody for John and for me, for joining us, and taking the time and for the questions. And as always, you know how to reach me, I don't hide. So you can -- I have I had 6 calls just since last night. If you feel like you need to -- didn't get questions answered, call me, email me, text me, and we'll get back to you as soon as we can.
 So thanks again and I look forward to the next call, unless we have one in between, which we always could have. And the next call will be for our K, which generally is in May. And I'm hoping that I can be told I was wrong, it's that we don't recognize the company in May, not next November. Ric, it's May we don't recognize the company, because you've changed so much. That's our goal.
 So thanks everybody. Talk to you in May of 2022. 
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.